Operator: Good afternoon. My name is Nate and I will be your conference operator today. At this time, I would like to welcome everyone to the Viad Corp First Quarter 2022 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Carrie Long, you may begin your conference.
Carrie Long: Good afternoon and thank you for joining us for Viad's 2022 first quarter earnings conference call. During the call, you'll hear from Steve Moster, our President and CEO and President of GES; David Barry, our President of Pursuit; and Ellen Ingersoll, our Chief Financial Officer. We issued our earnings press release after the market closed today, along with some presentation slides, which are both available on our website at viad.com. Certain statements made during the call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual, quarterly, and other current reports filed with the SEC. During the call, we'll be referring to certain non-GAAP measures, including income or loss before other items and adjusted EBITDA. Important disclosures regarding these measures, including reconciliations to net income or loss attributable to Viad, can be found in table two of our earnings press release and in our earnings presentation. With that, I'd like to turn the call over to Steve. 
Steve Moster: Good afternoon, everyone, and thank you for joining Viad's 2022 first quarter earnings call. As Carrie mentioned, we published our customary earnings press release, together with a presentation containing key insights into the first quarter performance and full year expectations on the viad.com website. During the call, David, Ellen, and I will be referencing specific pages from the presentation, as we discuss our business performance. Before we discuss our results, I want to thank our team members, who have worked tirelessly over the past two years to overcome the external challenges facing our businesses, while delivering extraordinary experiences to our clients and guests. More than anything, it's their creativity, resilience, and determination that has driven us forward to the exciting place that we are today. As we review our first quarter results and the macro trends that will drive our business performance through the remainder of the year, I'm very pleased with our financial results and the strategic decisions we made during the past two years. On page five of the presentation, I'll touch on three key points about the quarter that we'll cover in more detail throughout the call. First, our financial performance was better than our expectations, and I feel confident in raising our full year outlook, which Ellen will cover later in the presentation. I think it's important to understand the positive macro trends that influenced our results in the quarter and support our improved guidance. Trade shows are recovering from the pandemic faster than we expected. In Q1, our portfolio of U.S. trade shows was approximately 73% of pre-pandemic scale on a same-show basis. This is the third consecutive quarter that we've seen improvement in this metric. Additionally, experiential marketing activity among our large corporate clients is accelerating. Through conversations with our largest clients, we believe corporate experiential budgets for 2022 among those blue chip clients will be approximately 80% of their 2019 pre-pandemic size. At Pursuit, we're experiencing strong hospitality bookings, as leisure travel activity continues to accelerate. Currently, our pacing for our lodging assets is ahead of 2019 levels, and we anticipate a strong summer in our key geographies. Second, our refresh, build, buy strategy continues to fuel growth at Pursuit. We're committed to finding new opportunities to drive scale at Pursuit, refreshing our existing assets, building new assets and buying businesses that meet our strategic criteria. In early April, we acquired the Glacier Raft Company in Montana. This is a great business that will fuel EBITDA growth by adding high-margin traction to our existing glacier part collection. Later in the call, David will talk about the opening of the Forest Park Hotel in Jasper, which is another great example of our strategy. In addition to these two examples, Pursuit launched three new experiences in 2021 that we expect to contribute to Pursuit's continued EBITDA growth this year. With solid liquidity and additional financial flexibility, our intent is to accelerate the refresh, build, buy strategy. Third, I'm excited to announce that in the quarter, we created a unique identity, Spiro, for our GES Brand Experiences business. As a reminder, GES Brand Experiences accounted for approximately $330 million of total GES revenue in 2019, while serving as a strategic partner to leading brands around the world. We rebranded the business and introduced Spiro to the market to accelerate our growth by servicing the changing needs of today's brand marketers across a broad spectrum of their experiential marketing needs. This is an exciting opportunity for us to capture more share in the large and growing experiential marketing industry. We're starting in a great position with a strong client roster and we're investing to expand our capabilities to meet the needs of our current and future clients. And now, I'd like to turn the call over to Ellen to discuss our financial performance in more detail. Ellen?
Ellen Ingersoll: Thanks Steve. Looking at page seven of our presentation, you'll see a summary of our first quarter results, which significantly exceeded our expectations. The outperformance was primarily due to stronger than anticipated revenue at GES. Heading into the quarter, we had expected GES' revenue to be approximately 50% of the pre-pandemic 2019 first quarter due to disruptions caused by the Omicron variant. And although we did experienced some show cancellations, events that took place continued an upward revenue trajectory and GES finished the quarter with revenue that was 59% of the 2019 first quarter. I'd also like to point out that as GES' revenue came in slightly above our expected breakeven point, GES' adjusted EBITDA was positive $2.7 million versus our prior expectation for a loss. Pursuit performed in line with our expectations and delivered record first quarter revenue, driven by stronger demand for both our same-store and new year-round experiences. Our net loss attributable to Viad and our consolidated adjusted EBITDA both improved by about $14 million versus the 2021 first quarter. We are pleased with our first quarter performance and encouraged by the continued recovery of our industry. As shown on page eight of the presentation, we realized record first quarter revenue of $23.8 million at Pursuit. This represents an increase of $14 million from the 2021 first quarter and also far surpassed the revenue amount generated in the pre-pandemic 2019 first quarter. Pursuit same-store revenue increased by $8.9 million from the 2021 first quarter, primarily due to stronger visitation at our Canadian experiences from lift to travel restrictions, as well as our efforts to refresh our existing experiences and maximize revenue. Our new Sky Lagoon and FlyOver Las Vegas experiences that we opened during 2021, collectively contributed an incremental $5.1 million of revenue during the quarter. Pursuit's overall adjusted EBITDA was negative $11.5 million for the seasonally slow first quarter and increased as expected compared to the prior year. Same-store adjusted EBITDA loss increased by $2.1 million, primarily due to a $2.8 million benefit received in 2021 from the Canadian government's emergency wage subsidy program. Additionally, we are building up our team to ensure that we are at the optimal staffing levels to deliver extraordinary experiences to our guests during a busier year. The net adjusted EBITDA contribution from new experiences, which also includes the seasonally closed Golden Skybridge attraction was not meaningful during the seasonally slow first quarter as they continue to ramp up. As we move into our peak summer season, Pursuit's EBITDA returns to positive and our EBITDA margin will improve, as long-haul international visitation returns and volume increases to our high margin attractions. Now, moving to page nine, I'll review GES' first quarter performance. GES realized total revenue of $153.6 million during the first quarter, which increased $134.4 million compared to the 2021 first quarter due to increased face-to-face live event activity and the return of large-scale events that were canceled or postponed into the first half of 2021. The first two months of the quarter were challenged by the impacts of the COVID-19 Omicron variant. However, activity accelerated in March and reached approximately 75% of the amount generated in the month of March 2019. GES adjusted EBITDA of $2.7 million improved by approximately $16.9 million versus the 2021 first quarter. As a reminder, during the first quarter of 2021, we sold GES' Orlando facility. When adjusting to remove the $9.1 million gain that we recognized on that sale, our year-over-year improvement in adjusted EBITDA at GES was $26 million, which represents approximately 19% of the year-over-year revenue increase. This strong flow-through reflects the cost structure improvements that we've implemented during the past two years. In connection with the reorganization of our operations to support the launch and growth of Spiro, which Steve mentioned and we will discuss in more detail later in the call, we defined two new reportable segments within GES; Spiro and GES Exhibitions. Spiro's first quarter revenue increased $30.8 million with an increase in adjusted EBITDA of $6.3 million as compared to the 2021 first quarter. GES Exhibitions' first quarter revenue increased $104.7 million, with an increase in adjusted EBITDA of $10.7 million, as compared to the 2021 first quarter. Excluding the $9.1 million facility gain I just discussed, the year-over-year improvement in GES' -- in GES Exhibitions adjusted EBITDA was $19.8 million. These improvements primarily reflect the resumption of in-person activity as well as the benefit of the cost structure reductions we've implemented. Now turning to page 10, we ended the first quarter with total liquidity of approximately $145 million, comprised of $58 million in cash and cash equivalents and $87 million of capacity available on our revolving credit facility. Our cash flow from operations during the quarter was an inflow of approximately $18 million which was better than our prior guidance, primarily due to the faster than expected rebound of event activity at GES. Our team did an excellent job closely managing our costs and working capital and maximize our cash generation wherever possible during the quarter. Our capital expenditures totaled about $13 million for the quarter. Our investments during the quarter were mainly at Pursuit and included growth CapEx for the Forest Park Hotel, our new 88-room hotel in Jasper that is expected to open in late June. During the quarter, we paid cash dividends of approximately $2 million on our convertible preferred equity and made debt payments totaling [indiscernible] million. Now, moving to page 11, at March 31st, our debt totaled approximately $474 million, including $398 million on our term loan B, financing lease obligations of approximately $66 million, and approximately $9 million in other debt. As we announced in March, we amended the financial covenants applicable to our $100 million revolving credit facility to provide us with additional flexibility through the first quarter of 2023. The revolver was undrawn at March 31, 2022. However, in early April, we borrowed $15 million to help fund the cash acquisition of Glacier Raft Company for a total purchase price of $26.5 million. And David will comment more on that acquisition shortly. We're in an excellent position to continue our growth journey with our strong liquidity, financial flexibility, and improving industry demand. We are focused on investing in our exciting high return refresh, build, buy growth strategy at Pursuit, including the Glacier Raft Company acquisition and the new Forest Park Hotel build, as well as the longer-term build projects to expand our FlyOver attraction platform. As our financial performance continues to recover, we will have more capacity to invest and grow. We will prioritize investments that are counter-seasonal or offer 12 months' of profitability and are immediately accretive to our EBITDA. We are actively evaluating high margin growth opportunities and have a strong pipeline of unforgettable inspiring experiences in iconic locations around the world. And now, I'd like to turn the call over to David to discuss what's happening across the Pursuit. David? 
David Barry: Thanks Ellen. Thank you all for joining us. As Ellen mentioned in her remarks, we're very pleased to report record 2022 first quarter revenue of Pursuit. Before getting into details on our first quarter performance, let me first take a moment to thank our Pursuit colleagues around the world, who contributed to our strong quarterly results. Our teams are very focused on executing on our mission of connecting guests and staff to iconic places through unforgettable inspiring experiences. In addition to our results, I'm going to cover four major themes in today's call with a specific focus on the economic benefit of new counter-seasonal attractions coming online, our margin recovery post-pandemic, our pacing for the coming season, and our team member engagement and retention, all of which are key to our success. For the first quarter, Pursuit delivered record revenue of $23.8 million, which increased $14 million or 143% year-over-year. Relative to pre-pandemic 2019, revenue increased $13.1 million or 123%. Excluding the seven Jasper hotels acquired in late June of 2019 and the four attractions we opened from 2019 to 2021, revenue increased 16% from 2019. This strong revenue growth is an important indicator for us. It confirms our view that pent-up demand for Pursuit's experiences is real and that we're well-positioned for a strong peak operating season. And these figures are referenced on page 13 of our presentation. I'll talk more about the year ahead in a moment, but let me first share some details about our record first quarter revenue results, which can be summarized into three key areas of strength, as we noted on page 14. The first is exceptional performance at two of Pursuit's marquee year-round attractions in North America, the Banff Gondola and FlyOver Canada in Vancouver, B.C. Last quarter, I shared with you some details about our exciting new Nightrise experience at the Banff Gondola and the positive impact it had in the fourth quarter. We're pleased to report that this success continued into Q1 and helped to drive our strong results. For the first quarter, Banff Gondola welcomed over 74,000 guest visits, up 32% from pre-pandemic 2019. Relative to 2019, effective ticket price increased 8%, attraction revenue increased 42%, and food and beverage and retail yields increased 24% and 16%, respectively. Nightrise is a superb example of how programming and creating an experience within an experience can drive strong visitation and per cap spend. FlyOver Canada rebounded strongly after being closed in the first half of 2021, and this rebound continued into Q1 of 2022. We welcomed over 75,000 guests in the quarter and while this lag 2019 had surpassed our 2022 expectations. The next growth driver of our quarterly performance was a very strong guest demand for room nights at our year-round lodging properties in Banff, Jasper National Park, and in Whitefish, Montana. In Banff, room revenue increased 147% year-over-year on a 90% increase in occupied rooms, and a 30% increase in average daily rate. Our investment in the hotel F&B experience continues to pay dividends as food and beverage revenue per occupied room increased 29% year-over-year. In Jasper, you'll recall that last year, we reported very strong 2021 Q1 results from our collection of seven hotels. Jasper continues to grow as this year, we're pleased to report a 20% year-over-year increase in room revenue, which is driven by a 14% increase in occupied rooms and a 5% increase in average daily rate. And in Montana, that had our only year-round lodging property, Grouse Mountain Lodge, we saw strong performance with room revenue up 38% versus the pre-pandemic 2019 first quarter, and that was driven by -- through a 30% increase in occupied rooms and a 7% increase in average daily rate. So, the third and probably most important driver of our early season success is the economic and guest experience benefit from our continued investment in high margin year-round attractions. The two most notable being Sky Lagoon in Reykjavik Iceland and FlyOver Las Vegas located on Las Vegas Boulevard. We're very pleased with how these investments are performing, as guest awareness builds, guest feedback scores on Google and TripAdvisor remain high, and visitation recovers in both Las Vegas and Iceland. During the first quarter, Sky Lagoon and FlyOver Las Vegas contributed over 106,000 guest visits, representing 37% of Pursuit's total attraction visits for the quarter. So, we have an exciting view of the quarters ahead, so let me share our view on pacing for the balance of the fiscal year. All leading indicators for Pursuit are very positive. On page 15 of our presentation, you'll see that advanced reservations for our lodging properties are strong and pacing continues to exceed expectations. Starting in Banff, rooms rent -- room revenue was pacing well, up 178% from the same time in 2021 and average daily rates are up 26%. Canada's borders are wide open, and Pursuit is prepared to welcome international guests to the wonders of the Canadian Rockies. We typically, at this time of year see a lot of occupancy compression and that continues during the peak season in this market, which allows us to ramp up ADR and so with the border now open, we expect this year will be no exception. In Jasper, we saw strong demand from local and regional guests in the prior year and as borders have now reopened. We're anticipating another exceptional year of demand in one of Canada's most iconic national parks. Rooms revenue pacing up 83% from 2021 and average daily rates are up 16% year-over-year. Also, I'm pleased to report that progress continues at great speed on the construction of our new 88-room property in Jasper, the Forest Park Hotel. We are on track to open in June of 2022. In Montana, we're confident that the strong start we've experienced will continue through the peak summer season. Rooms revenue is pacing 8% ahead of 2021, and we expect a record year in the Glacier Park collection. Finally, in Alaska, we continue to see strong year-over-year pacing on the heels of a successful 2021 year. Room revenue was 3% ahead on strong rent growth from prior. These results exclude the Denali Backcountry Lodge, which is impacted short term by the Park Services decision to close the Denali Park Road for repairs this summer. The Denali Backcountry Lodge, which is located near the very end of the Denali Park Road deep inside Denali National Park, will be opened for the 2022 season despite the road closure, as we've converted the summer program to a fly-in experience. With fewer overall visitors traveling on the Denali Park Road in 2022, this unique situation creates a magical and intimate opportunity to see wildlife in this iconic setting. So, if you've been putting off that Alaska trip, this is the year to come and visit. All right, let's switch gears to our attractions business. We anticipate approximately 2.3 million visitors at our iconic locations attractions, including our latest additions the Glacier Raft Company in West Glacier Montana. Excluding Sky Lagoon, which opened in April 2021 and the Glacier Raft Company, which we recently acquired, anticipated visitation across our iconic location attractions represent more than a 61% year-over-year increase from 2021. Sky Lagoon is poised to deliver very healthy results in its first full year of operation, and we anticipate that the attraction will capture a significant share of the roughly 1.5 million anticipated international guest arrivals to Iceland this year. Guests have consistently given Sky Lagoon exceptional ratings and this strong level of guest satisfaction has firmly established the attraction, as one of the premier things to do when visiting Iceland. And finally, we're thrilled to welcome our newest attraction to Pursuit, the Glacier Raft Company in West Glacier, Montana. We expect to add approximately 50,000 annual attraction visits to Pursuit through this acquisition. We completed our acquisition in early April and are already welcoming guests for a busy summer season. The Glacier Rating Company was founded in 1976 and is ideally located near the West entrance to Glacier National Park and is one of Montana's premier rafting and guided flyfishing experiences on the Flathead River. The acquisition also included the purchase of the company's lodging business, consisting of 23 cabins and lodging properties that are ideal destinations for families and weddings alike and they're very complementary to our existing base of lodging, food and beverage and retail experiences in and around, West Glacier. We anticipate that Glacial Raft Company will contribute between $9 million and $10 million of incremental revenue in 2022. All right, so let's spend a minute talking about our FlyOver attractions platform. We anticipate the total visitation to our flying ride experiences in Vancouver, Reykjavik and Las Vegas, will welcome more than 1.1 million guests in 2022. Excluding FlyOver Las Vegas, which opened in September 2021, anticipated flyover visitation is expected to increase 116% year-over-year, driven by a compelling lineup of accelerating new content, the reopening of the Canadian border, and the return of long-haul visitation to Iceland. FlyOver Las Vegas has steadily gained momentum since opening, and with the ratings of 4.5 out of five stars on Google and TripAdvisor we're encouraged by recent trends in guest visitation, as we enter peak tourism season in Las Vegas. Earlier this year, we announced plans for FlyOver Chicago located on the iconic Navy Pier in downtown Chicago. And I'm pleased to report that planning and design is progressing and we're on track for a spring 2024 opening. Planning and permitting efforts remain underway for our 5th FlyOver location, FlyOver Canada, Toronto, located at the heart of -- in the heart of downtown Toronto near the base of the CN Tower and the entrance to the Rogers Center. So, before turning it back to Steve, I'd like to touch on a few important areas in which we remain very focused for the year ahead and share with you how we're actively working to mitigate some of the risks that you're all hearing about in the news. First, review staffing and retention, as the single most important factor to a successful 2022 operating results. We began recruiting efforts much earlier this year and have been innovative in leveraging a multitude of new platforms and talent pools in order to adequately staff for anticipated guest demand. We review our hiring metrics both daily and weekly at the senior team level, and I can say with confidence that I'm optimistic with where we sit at this stage in the cycle. And obviously, success in hiring doesn't mean much if you're not equally as successful in retention. So, we're heavily focused on team member engagement and in a good place, as evidenced by our recent company-wide survey results. We will survey seasonal and year-round colleagues four times throughout the year, as we work to drive industry-leading team member engagement results. It's essential that we listen to what our team members are saying about their experience and what they believe Pursuit needs to do to be an employer of choice and best company to work for. One item of particular importance to both our guests and our team members is our focus on sustainability, diversity, and inclusion, and we're very pleased to release our 2021 Promise to Place report on Earth Day. This report summarizes our initiatives in these critical areas and can be viewed at pursuitcollection.com. We've also taken several other actions based on team member feedback ranging from adjustments to starting wage rates, annual wage increases, implementation of other non-compensation-related benefits in order to provide an outstanding experience for team members, who choose to work with us, whether that's for a summer or for a career. And as we navigate the season ahead, we're also keeping a keen eye and an acute focus on margin. It's a key priority for our senior leaders and operating teams around the world. Given some of the wage rate pressures I just mentioned, coupled with inflationary pressures on everything from fuel to cost of goods, you might assume that we'll be going backwards in terms of profit margin. We're not going to let that happen. And in fact, we anticipate that total adjusted EBITDA margin expansion to be north of 500 basis points year-over-year from 2021. We indicated to shareholders in our February earnings call that we would meet or exceed our 2019 EBITDA result. Exceeding our 2019 EBITDA result, which today looks very probable, we'll make 2022 the most successful year in Pursuit history. This forward momentum, combined with the return of international visitation patterns and our strong focus on margin expansion bodes well for our future. First, as global travel markets reopen and international guest visitation return, we anticipate strong margin recovery, as the Pursuit business is built to scale with guest volume, and that's particularly at our high-margin attractions. Certainly, margins were impacted in both 2020 and 2021, with the pandemic, border closures and guest mix that was largely comprised of local and regional guests. This year, we anticipate much stronger demand from across North America, the U.K., and Western Europe from both our tour and travel and consumer direct segments, which will contribute meaningfully to margin expansion over the prior year. As we anticipate that visitation from Asia and China, in particular, will remain somewhat muted this year, we expect continued margin expansion in the years ahead of guest demand from these markets also returns. The second lever, we use to mitigate inflationary risk is price, and we're confident that the quality of our experiences, the strength of our guest feedback scores and our continued focus on revenue maximization and dynamic pricing will allow us to take price in select areas, which obviously goes a long way in mitigating inflationary cost pressures. This is something we work on every single day, always ensuring that the guest value proposition is intact, but also looking to ensure that we're priced appropriately, not only in attractions and hotel rooms, but also throughout food and beverage and retail outlets around the world. In closing, we're very excited with the strength of our Q1 results and where we sit with team member engagement and guest satisfaction, as we head into our peak operating season. We anticipate guest demand to be high, are encouraged by pacing data and are confident that we've taken the appropriate actions to staff sufficiently and retain talent. We have a strong focus on team member engagement and we will mitigate inflationary pressures, as they come. So, I'll finish with a final point. I am so incredibly proud of our operating and support services teams. They have grit, they have determination, and it's all combined with a passion for delivering authentic hospitality around the world. And we look forward to doing just that to delivering iconic, unforgettable. and inspiring experiences in the year ahead. Steve, back to you.
Steve Moster: Thanks David. Now, I'd like to spend some time talking about GES' first quarter performance, starting on page 21 of the presentation. As Ellen mentioned earlier, GES delivered much stronger results for the first quarter than we had previously anticipated due to a quicker than expected rebound in North American trade shows, coupled with our proven lower cost structure. Since 2020, we've been communicating two key themes to you regarding GES' business. First is the transformation of GES into lines of business that focus on our specific customer segments, most notably show organizer customers for our GES Exhibitions business, which accounted for 70% of our 2019 GES revenue and corporate marketer customers for our Brand Experience business, which accounted for 30% of our 2019 GES revenue. The second key theme is the actions we took to reduce our cost structure, primarily within GES Exhibitions business in the U.S., which is our largest trade show market. On today's call, I'll dive deeper into the trends we're seeing in each of the two lines of business and illustrate how our actions to focus on key customer segments and reduced costs have benefited the business. Let me start with our largest line of business, GES Exhibitions. The quarter started with significant uncertainty, as Omicron cases were spiking in North America and Europe. As a result, GES Exhibitions experienced near-term cancellations and postponements of certain trade shows that were scheduled to occur in the quarter. Despite the cancellations and other headwinds caused by supply chain challenges, GES Exhibitions performed well in the first quarter and delivered $111.8 million in revenue and $2 million in EBITDA, with a significant acceleration of activity during March. The primary drivers of our performance were a faster than expected recovery in the size and scale of trade shows and the improved cost structure in our exhibition business. As shown on page 22 of the presentation, we have experienced steady growth over the past three quarters in the size of events taking place. In Q3, 2021, GES U.S. trade shows were approximately 46% of their prior pre-pandemic occurrence size on a same-show basis. This U.S. same-show metric compares trade shows that occurred in the same city for both occurrences and represented of between 30% and 50% of the total exhibition revenue during each of the last three quarters. In Q4, 2021, that same-show comparison jumped to 67%. And in Q1, 2022, it increased again to 73%. We are seeing variability in show performance, as some trade shows and industries recover faster than others, but we're encouraged by the overall trend. I was particularly pleased to see several trade shows in the first quarter exceed their prior pre-pandemic occurrence size. Most notable MODEX, an exhibition focused on next-generation supply chain technology and equipment, experienced strong attendance and exhibitor participation across more than 400,000 square feet in Atlanta's Georgia World Congress Center. This year's trade show was the largest in the history of MODEX. In addition, one of our largest trade shows in 2022 is the International Manufacturing Technology Show, or IMTS, which takes place every other year, but did not occur in 2020 due to pandemic. IMTS 2022 will occur in the third quarter and bring together the creators, builders, sellers, and drivers of manufacturing technology to connect and be inspired. This year's trade show has already sold approximately 80% of the square footage of IMTS 2018, which was the largest in history. Now, turning to page 23 of the presentation, you will see that in addition to higher than expected revenue, GES Exhibitions benefited from the transformative actions we took during the pandemic. I'm happy to report that GES Exhibitions had a flow-through on incremental revenue of approximately 19% from Q1, 2021 to Q1, 2022, excluding one-time gains in the first quarter of 2021. This high flow-through to EBITDA on incremental revenue is the result of lowering our fixed cost outsourcing certain services and variabalizing our labor costs. I want to thank our teams for all the hard work over the past two years to create our lower cost model. Our work, however, is not finished. We will continue to find opportunities to simplify the business and reduce our cost structure to drive greater profitability. This work is particularly important in the current environment, as we continue to see headwinds in the form of higher transportation costs, supply chain challenges for the availability of specialty equipment, as well as higher labor costs. To-date, our teams have found creative solutions to minimize our need for transportation services and where possible, have negotiated price increases or other financial concessions to offset a portion of our increased costs. Looking forward at GES Exhibitions, I'm confident that trade show schedule is returning to normal without additional cancellations due to external factors. In addition, based on the same-show trend we're seeing in North American trade shows, we are optimistic that the revenue recovery trajectory will continue in the remainder of 2022. Now, let me switch gears and discuss Brand Experiences in more detail. Over the past year, we positioned Brand Experiences portion of GES to focus exclusively on corporate brand marketers and their evolving marketing needs. As I mentioned on past calls, we hired Jeff Stelmach, an experienced marketing agency builder to lead Brand Experiences. During the first quarter, we created a unique identity, Spiro, for our Brand Experiences business. We introduced the Spiro brand to the market in order to accelerate our growth in the large and fragmented experiential marketing industry by serving the changing needs of today's brand marketers across a broad spectrum of capabilities. Spiro is a natural evolution of the strong client partnerships we've built with leading brands around the world through our Brand Experiences business. In addition to a new brand, Jeff and his team began the important work of building out Spiro's unique culture and adding new capabilities to the team. Spiro benefits from already having significant scale and a strong client roster. In 2019, Spiro previously known as Brand Experiences was approximately 30% of total GES revenue. And as shown on page 24 of our presentation, Spiro already works with all of the top 10 pharmaceutical companies, nine of the top 10 aerospace and defense companies, six of the top 10 machinery and industrial companies, and eight of the top 10 technology companies. This was the perfect time to launch the Spiro brand. The pandemic caused a shift in how corporate brands engage with their audiences. In today's market, brand marketers must reach their audience and build their communities by making seamless connections across the physical, virtual, digital, and hybrid marketing channels. Spiro was created to leverage our long history of exceptional creativity and flawless execution in the in-person live event arena and expand our capabilities to help our corporate clients connect with their customers across the entire spectrum of experiential marketing channels. A great example of Spiro's work is the John Deere Spring Training event for authorized dealers that we executed during the quarter. John Deere has been a client of ours for the past five years, and we have managed their exhibit program at some of the largest trade shows in North America. The focus of John Deere Spring Training is to provide information to dealers on new equipment, features and competition comparisons. During the planning of Spring Training, Omicron cases spiked, and John Deere had to pivot to a virtual event. With our new capabilities in place, our Spiro team was ready for the challenge. Spiro developed the event from start to finish, including content development, creative design, script writing, virtual platform development, production and technical management. The event drew an online crowd of over 1,200 authorized dealers from around the world. Spiro's new experiential marketing capability and services represent an exciting growth opportunity for Viad. As shown on page 25, the addressable market for experiential marketing in 2021 was valued at $95 billion across B2B events, live consumer events and consumer event sponsorship. These new capabilities and services will enable Spiro's growth by selling horizontally across our existing base of clients like John Deere and winning new corporate clients. As an example, Spiro won new business in the quarter with JPMorgan, Baird & Associates, Cloud B, [indiscernible] and many other new clients. During the quarter, Spiro delivered $42.8 million of revenue and approximately $700,000 in EBITDA as corporate experiential marketing spend continued to recover. Like the GES Exhibitions business, Spiro benefited from the recovery of marketing budgets compared to the pre-pandemic spending levels. Through conversations with our clients regarding 2022 budgets, we believe that our large corporate marketer customers are planning on spending approximately 80% of their 2019 budget. We also expect corporate marketing budgets to continue to increase, as corporate travel policy restrictions are lifted and event attendance recovers, as pandemic concerns ease in our core geographies. In closing, I'm pleased with GES' performance in the first quarter and very encouraged by the growth trends we're seeing for the exhibition activity and corporate marketing budgets. I'm also excited about the future potential for continued top line growth in Spiro and margin expansion at GES Exhibitions. I'd like to once again, thank the entire GES team across exhibitions and Spiro for their tremendous efforts in meeting the escalating business needs, as activity ramps up, while delivering extraordinary experience on behalf of our clients. And now, I'd like to turn the call over to Ellen to discuss our financial outlook in more detail. Ellen? 
Ellen Ingersoll: Thanks Steve. Based on our stronger than expected first quarter performance and the positive trends we are seeing across our business, I'm pleased to say that we are raising our full year expectations. We are encouraged by the acceleration of business activity in our industries and optimistic that the trend will continue into the balance of the year. GES' event bookings indicate that in-person event activity will continue to improve and Pursuit's event bookings point to a very strong peak season this summer. As shown on page 27, we expect Pursuit's adjusted EBITDA for the 2022 full year to be approximately $80 million to $90 million and for the second quarter to be approximately $17 million to $21 million. We believe that Pursuit's EBITDA will be at or above 2019 pre-pandemic levels, driven by continued same-store growth relative to 2021 and the addition of new experiences. Our three new attractions that we opened in 2021 will have a full season of operations this year, and we will also benefit from the additions of the recently acquired Glacier Raft Company and the opening of the Forest Park Hotel ahead of this peak summer season. Our outlook for Pursuit assumes that our U.S. same-store experiences will once again post revenue above pre-pandemic levels on continued strength in domestic leisure travel and that our Canadian same-store experiences will see significant, but not full recovery relative to 2019. It is our expectation that long-haul leisure travel will more fully return in 2023, which will help drive increased volumes through our high-margin attractions. We expect Pursuit's EBITDA margin in 2022 will remain lower than pre-pandemic levels until long-haul international leisure travel fully recovers. Long-haul international visitors helped drive strong visitation at our high-margin attractions and the flow through significantly improved with volumes. As international travel reaches more normal levels of visitation, we expect Pursuit's margin will once again return north of 30%. As David mentioned earlier, while Pursuit is certainly not immune to the wage rate and other inflationary pressures that are being felt across all companies, we expect to offset that impact through our revenue management efforts to drive rate increases, while also maintaining our high guest satisfaction levels. Now, turning to GES on page 28. We expect adjusted EBITDA for the 2022 full year to be approximately $25 million to $35 million and for the second quarter to be approximately $8 million to $12 million. We have previously guided for above breakeven full year EBITDA from GES and based on the stronger than expected performance of our first quarter events and current expectations for the balance of this year, we feel comfortable introducing a full year range for GES that is significantly better than breakeven. Our assumptions underpinning the full year range remain a bit cautious given the dynamic operating environment that we continue to navigate. We're assuming that Exhibitions same-show revenue will generally remain at or better than 75% of pre-pandemic levels. We believe that experiential marketing budgets for our major Spiro clients will be approximately 80% of pre-pandemic levels. Live in-person event schedules are resuming their normal cadence and looks solid for the balance of the year. GES is well-positioned for success with a strong backlog of contracted events and an expanded roster of corporate clients. We expect show sizes and corporate marketing budgets to continue to increase, as companies return to their pre-pandemic travel policies. And with new, more variable cost structure in place at GES, we've lowered our breakeven point for that business and expect to realize margin expansion, as revenue continues to recover. We expect SG&A will gradually increase to support increased business activity and future revenue growth. We currently expect a free cash outflow during the second quarter of 2022 in the range of $10 million to $15 million. This assumes an operating cash inflow somewhere in the range of $15 million to $20 million and capital expenditures of approximately $30 million, including growth CapEx for the new Forest Park Hotel build and as I mentioned earlier, we acquired the Glacier Raft Company for $26.5 million, which was partially funded by drawing on our revolver. For the full year, we expect capital expenditures of approximately $75 million to $80 million, primarily at Pursuit and including growth CapEx for the Forest Park Hotel and FlyOver Chicago. We will continue to carefully manage our cash flows and be strong stewards of our capital to maximize shareholder value. With continued recovery in our industries and our new Pursuit experiences, we are well-positioned to surpass our 2019 consolidated EBITDA by 2023. The high return growth investments we have made through Pursuit's refresh, build, buy strategy, combined with the pent-up demand for leisure travel will help offset a slower recovery in business travel at GES and propel us back to our pre-pandemic growth trajectory. Our financial outlook assumes no future material adverse changes to the macro environment from COVID, geopolitical events, or other factors. We continue to operate in a very dynamic environment, and our performance could vary significantly from the guidance provided. It's evident that there is pent-up demand for our industry, we remain focused on positioning the company for great success and growth, as our businesses continue to recover in 2022 and beyond. And with that, I'll turn the call back over to Steve for some concluding remarks.
Steve Moster: Thanks Ellen. Our company is well-positioned to reemerge from the pandemic in a position of strength with pent-up demand for our industries on both sides of the business, new world-class experiences at Pursuit and a transformed more profitable GES. I'm encouraged by the progress that we've made this quarter and optimistic about the recovery in leisure travel at Pursuit and live event activity at GES, as we head into the balance of the year. We remain focused on our strategy to create extraordinary experiences and strong returns for our shareholders. For Pursuit, we will continue to significantly scale the business and drive growth through our proven refresh, build, buy strategy, as well as take advantage of economic disruption and opportunities in this space. For GES, we will build on the progress we've made to-date to improve the margin profile and resume generating strong cash flow through our more flexible cost structure and more focus on higher margin clients and services. We have a clear path to accelerate growth and significantly enhance shareholder returns. Our liquidity position is strong, and we have the financial flexibility to sustain and continue investing in the future. We have high-quality businesses with leading market positions in experiential leisure travel and experiential B2B events. We plan to capitalize on pandemic disruptions to strengthen our leading market position. Our growth strategy has proven to be successful driving strong returns pre-pandemic, and there are tremendous opportunities to continue investing for long-term growth. I'm excited about the bright future that lies ahead for our company. I want to thank our hard-working and dedicated employees, who make all of this possible and thank you to our shareholders for your continued support in Viad. And with that, we'll open up the call for questions. 
Operator: [Operator Instructions] Our first question goes to Kartik Mehta with Northcoast Research. Kartik, your line is open, please proceed.
Kartik Mehta: Thank you. Maybe just a little bit on Pursuit. I'm wondering if you could talk about capacity, where you are for 2022 or what portion of capacity you think you'll utilize for 2022? It sounds like reservations are really strong, it sounds like you're expecting a really good year.
Steve Moster: Yes, thanks for the question Kartik. And as you mentioned, we said during the call that pacing is ahead of 2019 and we feel really good about that. I'll let David jump in to more detail about what he's seeing in terms of capacity for what we expect in capacity for some of our attractions and hospitality assets.
David Barry: Hi Kartik. Yes, I think it's interesting, we have certain dates already within the summer that are completely sold out from a lodging perspective and then obviously, there's a ton of compression. So, lodging beds have a big impact in terms of how busy destinations get, but I expect that we will be returning to historical levels. And if you think of, say, a peak day, for instance, at the Banff Gondola, may have been 5,000 or 6,000 in 2019. Those numbers were obviously much smaller through the throes of the pandemic in 2020 and 2021 and we expect that we'll see a return to historical levels just in terms of what we're seeing for demand and how busy we think things will be over this summer.
Kartik Mehta: And then you talked about -- a little bit about international demand and I'm wondering in a typical year, when do you kind of have a good idea of where international demand is? Or how early do international travelers book? And is there a potential for that to increase considering where you are from a capacity standpoint?
Steve Moster: Well, right now, for instance, you have a really good view to who's coming from where. And so obviously, Western Europe and within North America, everyone is traveling very freely. Canadian borders are wide open. So, folks are moving between countries quite comfortably. There are certain countries in the world that obviously are a little bit more locked down. China being a good example of one right now that -- we don't expect a lot of travel from China and say, India this year. But definitely, we've got a good view to international visitation and we think that the perception of North American destinations is very strong. And so for both Iceland and then what we're seeing in North America, we expect a steady return to international visits coming back to their peak levels.
Kartik Mehta: Okay. And just one last question. If I could just ask on free cash flow for the year. I know, you gave EBITDA guidance, obviously, you gave CapEx, which is a really good start. I just wanted to know, if there are any other factors maybe that are different in 2022, so just expectations for free cash flow for the year?
Ellen Ingersoll: No, I mean the EBITDA guidance for the operating companies and then minus the interest expense and debt payments on corporate. So, just to give a perspective, our operating cash flow approximates our CapEx, give or take. But you're right, it's the EBITDA minus corporate.
Kartik Mehta: Okay, perfect. Thank you so much. I appreciate it.
Steve Moster: Thanks Kartik.
Operator: Thank you, Kartik. [Operator Instructions] Our next question goes to Bryan Maher with B. Riley Securities. Bryan, your line is open, please go ahead.
Bryan Maher: Thank you and good afternoon. And team thank you so much for that slide deck, that's super helpful, all that extra information. But I do want to ask before I get into my questions, a balance sheet and cash flow statement. We did see the abbreviated balance sheet on -- in the slide deck, but when will that full balance sheet and cash flow statement be available, is that -- we have to wait for the Q for that?
Ellen Ingersoll: And yes, but we'll be filing the Q either tomorrow or Monday, so shortly.
Bryan Maher: Okay, great. Super helpful. And then can you give us any color on the trajectory of visitation growth and maybe the pricing for some of the newer Pursuit attractions like Sky Lagoon and Las Vegas FlyOver. I know for competitive reasons, you probably don't want to get too specific, but can you give us an idea of how quickly those are ramping?
Steve Moster: Sure. We talked a little bit about it in David's comments around the visitation we've seen in the first quarter, but I'll let him give more insight into what he's seeing from a pacing for both the Sky Lagoon and FlyOver Las Vegas.
David Barry: Yes. So, Bryan, I'll be a little bit careful in terms of how I catch it from a competitive standpoint, but we expect to see a significant ramp up into the peak summer period, and that obviously, demand ratings are very strong. There's a lot of demand for the new attractions. It will be Golden Skybridge's first full season of operation. Sky Lagoon just celebrated its first anniversary and had a very strong first quarter and we expect that's going to continue through the year. And then obviously, FlyOver Las Vegas gaining momentum. So, we're encouraged by what we're seeing and looking forward to the rest of the year.
Bryan Maher: Okay. And then -- go ahead.
Steve Moster: If I can just add one other thing is, I think it's important to point out the two new attractions kind of made up a significant portion of the visitors or packs during the quarter and as they continue to ramp up, we have continued to focus on year-round activity, and this is a good step in that direction.
Bryan Maher: And then the FlyOver Chicago and the FlyOver Toronto, I think that those are both a 2024 opening. What kind of capital costs are going to be associated with those? And how is that going to kind of hit the cash flow statement over the next couple of years?
Ellen Ingersoll: So, we haven't given guidance on the level of CapEx that we're spending over the next couple of years, but that will be development CapEx, and you'll see that within Pursuit's development plan each of the years that it hits. So, over the next couple of years.
Bryan Maher: Okay. And then, you need to -- a little bit about -- go ahead.
Ellen Ingersoll: Sorry, Bryan, just to give a perspective, Vegas was about $45 million in development costs.
Bryan Maher: Okay. And so I guess -- I mean that was a pretty big project. Would it be reasonable to think that Chicago and Toronto might be a little less expensive, but then you have to adjust for inflation. So, maybe you're in that $40 million to $45 million range again?
Ellen Ingersoll: We'd rather not give specific guidance on that.
Bryan Maher: Okay. Understood. And then you talked a little bit about cost and inflation impacting numbers and on your slide 19, you have a -- I don't know if I want to call it a goal or what you want to call it, a 35% EBITDA margin. How much does the current inflationary environment kind of slow down your ability to get there?
Steve Moster: Well, there's a couple of things. So, one, I think from -- when you worry about inflation, obviously, what has it impacted, it impacts rising costs, fuel, cost of goods sold, et cetera, et cetera. But we have a lever that is pretty powerful, and that lever is obviously price. So, when guest satisfaction is very, very high, we also feel that we're able to move price and that guests are understanding and as long as they're receiving good value, then you're able to offset the majority of the inflationary impact with price adjustments. And we price dynamically as a reminder, so in peak periods, obviously, we're moving price further. And we spend a lot of time and energy around the price value relationship. So, I think that's a big driver of how we manage inflation. And then from a margin standpoint, obviously, there's two things that drive margin to the greatest degree, one is the amount of visitation and so think of a difficult attraction might be staffed for a certain amount of visits, say, pick a number of 2,500 visits in a particular day. As markets return and as visitation improves, those numbers of visits grow quite significantly, but our costs remain basically at that threshold level because we're staffing the attraction to provide a great guest experience and the incremental visitation over that number is basically pure profit. So, two drivers of margin, one is visitation and then mix of guests. And as international visitors return, remember 2020 and 2021, Bryan, we had primarily regional and local visitors. They spend less. They tend to travel shorter distances. They spend less time in a particular destination, whereas our visitors from further afield, they want to do everything. They want to experience everything and so their level of spend is higher. And so those are two big drivers, as we return to strong margin performance into the future, and we're confident about that.
Bryan Maher: Thanks. And that probably segues well into my next question. Are you seeing on an international basis, the conflict in Eastern Europe impacting what you thought you might have seen or thought you may see in the second quarter, as it relates to GES functions?
Steve Moster: Yes, it's a good question, Bryan. No, we're not really -- I mean, obviously, it's a perfect thing that's happening with the invasion, but it is not really impacting the business that we see either in North America or in our EMEA operations. Again, most of our EMEA is either based in the U.K. or in the UAE and so we're not seeing a significant impact really from the invasion.
Bryan Maher: Okay. And just last for me. On ramping up Pursuit staffing, heading into kind of peak season, how much if any of the 1Q costs likely back-end loaded, of course, into March might be kind of early staffing up? Or is it pretty much all showing up in 2Q?
Steve Moster: Yes, that's a really good question. So, two things. One is we anticipated that we would have higher levels of variable costs and some -- and certain expenses. And one, imagine when you're securing supplies, and you're worried about supply chain, so we did move to make sure we had enough of what we would need for the coming year. The other is, we were pretty good students of other industries that had their peak season in winter. And for those of you that have followed some of the large ski companies and seeing some of the struggles they've had with staffing and other things, we take pretty careful attention to say, don't want to be that guy. We're going to be focused on getting organized in terms of our staffing levels. So, we've worked really hard to make sure that we have the right amount of staff on board. We've taken a lot of steps to secure those folks and have them on tap to be working this summer and in place and so that's had an impact. We didn't want to be caught flat-footed. We've onboarded and trained seasonal workforce earlier, so that we're ready when guests show up. And remember, last year, in 2021, when you look at the year-over-year comparisons, we were still certainly a little bit unsure as to what our volumes would be in the 2021 pandemic year. This year, we've got a really good view to how busy it's going to be. It's going to be busy, it's going to need a lot of staff and a lot of energy and effort and we're ready to deliver that.
Bryan Maher: Great. Thank you very much.
Steve Moster: Thanks Bryan.
Operator: Thank you, Bryan. There are no further questions at this time. Steve Moster, I turn the call back over to you.
Steve Moster: All right. Thanks everybody for attending our call. We look forward to talking to you again at the end of the next quarter. Thanks so much.
Operator: That concludes today's conference call. You may now disconnect your lines.